Operator: Good day, ladies and gentlemen and welcome to the Q4 2019 Wabash National Earnings Conference Call. [Operator Instructions] As a reminder this conference call is being recorded. I would now like to turn the conference over to your host, Mr. Ryan Reed, Director of Investor Relations. Please go ahead, sir.
Ryan Reed: Thank you, Katrina. Good morning, everyone and thanks for joining us on this call. With me today are Brent Yeagy, President and Chief Executive Officer; and Mike Pettit, Chief Financial Officer. A couple of items before we get started, first, please note that this call is being recorded. I'd also like to point out that our earnings release, the slide presentation supplementing today's call and any non-GAAP reconciliations, are all available at ir.wabashnational.com. Please refer to Slide 2 in our earnings deck for the company's Safe Harbor disclosure addressing forward-looking statements. I'll now hand it over and ask that you please refer to Slide 3, as Brent gets us started with his highlights.
Brent Yeagy: Thanks, Ryan. Hello and good morning to everyone with us on the call today. Let's start by first looking at our full year. We are pleased to have continued revenue growth while also growing operating income, net income and EPS versus the prior year. Additionally, cash generation continued to be strong. And I'm very pleased to add them to our streak of what is now seven consecutive years of free cash conversion of 100% or greater. We took action to divest business assets that were not part of our strategy or core to our business. We also made major strides and further transforming Wabash in line with the strategic vision that we have for this company, which I'll outline in additional details further on the call. Let's transition and discuss our fourth quarter. During the fourth quarter, we continued the strong top line performance that is characterized for full year of 2019. We generated record sales of just over $2.3 billion during the full year of 2019, with $579 million of revenue in the quarter. Overall top line for the year and the quarter were driven by strong market performance and pricing in all three operating segments. Operating conditions in the quarter were somewhat challenging as we navigated through the end of the year scheduling and demand fluctuations. Our CTP and DPG segments were able to mitigate the majority of these challenges to pricing actions and their ability to leverage leaner and more nimble operations characterized by their overall Wabash management system maturity. However, FMP business had a more difficult time executing through those challenges. As such profitability for the quarter was slightly below expectations on a consolidated basis and as previously stated, CTP and DPG were solid performers that enabled offset FMPs challenges for the quarter. Let me get a little bit more detail about FMPs fourth quarter environment, new customer inflow and traditional customer order pattern variation, challenge the operating systems within bottom mile products, which weighs on profitability in the quarter. This businesses in the end year's position that execute on both new growth and a changing customer demographic that's being brought on by secular market trends and a new and growing fundamental product value proposition based on improved on time delivery and innovation. The reality is that our operating systems within bottom mile products have further improvements to make in order to more efficiently execute on its growth trajectory. Changes are afoot within Final Mile Products and Wabash National to accelerate Final Mile Products operational improvement to more fully incorporate the Wabash management system into its everyday operating environment. So a matter of time until a greater level of bottom line performance emerges within this exciting business. Now I'd like to take a moment to share with you what we've been doing beyond the numbers to position Wabash for the future. As part of the leadership transition in 2018, we spent time assessing the company's history, legacy competitive advantages and culture, all with the purpose to better align the organization and create a new organizational set of capabilities to deliver on our revised strategy. As a result, we have realigned our purpose, vision, mission and values to reflect how Wabash National can best position the organization to provide breakthrough customer value, long-term profitable growth, sustainable results and exciting and rewarding future for our employees. Beginning at the top, we see our purpose or the reason we exist as changing how the world reaches you. Wabash products already touch everything in the logistics chain, nothing moves without our products and our purpose speaks to how we will align our innovation resources, the scale of our desired impact and the legacy that we will create as an organization. Our vision is what and how we fulfill our purpose. Our vision is to be the innovation leader of engineered solutions for the transportation, logistics and distribution industries. We believe this vision appropriately captures our foundation as innovators and is also broad enough to define where we will grow, yet specific enough to show where we will win. Our mission is how we intend to act now. We will enable customer success with breakthrough ideas and solutions that help them move everything from first to final mile. The customer is at the centre of our mission and directs us in how will innovate and provide real change to ensure all of our stakeholders are successful. We've also updated our values and leadership principles to reflect a more refined, inclusive and enabling culture that we're in the early stages of building at our company. It may not look traditional, but we don't tend to be traditional in the future. We intend to be different and we intend to be better. Lastly, we will do so with an enterprise lean mindset, while lean is something that many people think about as a tool used only on the shop floor. Wabash management system applies the same principles to every aspect of the company and we're enlarging our commitment to the organization to identify and eliminate waste, enhance process and establish stable and effective standard work in every aspect of our business. I'm encouraged by the growing understanding that our Wabash batch management system is not about just solely reducing waste and cost and it's not about just using tools. It's about freeing resources to process improvements and connecting systems to enable profitable growth and advancement of the strategy for our people, our customers and our shareholders. Our reality is that we are at the early stages of broad organizational deployment to the vision we have for our Wabash management system. While this means that we have a journey in front of us, it also indicates the opportunity that awaits us in the future. To better align the organization we've recently announced some changes. Mike Pettit has taken over as Chief Financial Officer. And I expect the rate of change in his organization to meaningfully accelerate as the finance function executes its vital role in leading the implementation of the Wabash management system and the enablement of both an enterprise lean mindset and a growth mindset across the business. I'd like to thank Jeff Taylor for his leadership as CFO and wish him all the best in the future. He's a man of exceptional integrity and he worked diligently to make Wabash a better place. As part of those organizational changes, we have Kevin Page, who's led our Diversified Products Group, also assuming responsibility for Final Mile Products. Kevin brought over 20 years of executive level final mile and truck body experience to Wabash in 2017. And we're excited for him to leverage that background. We have made numerous changes underneath Kevin to support the new structure and ensure that we position additional talent to accelerate the final mile business profitable growth trajectory. As a reminder, we previously made the organizational change to centralize product innovation from the operating segments to drive breakthrough results in line with our purpose to change how the world reaches you. We'll continue to provide updates on further calls to communicate how we are working on the business to create and acquire new capabilities, further align the organization as well add more quantifiable impacts as we enhance our future performance and trajectory of our strategic vision. Now, we'll discuss current backlog and market conditions. Our backlog ended the fourth quarter at approximately $1.1 billion, up sequentially by approximately $300 million from the end of Q3 where the trailer market specifically, industry reports have shown backlog effectively flat from the end of Q3 to Q4. So we expect at this early stage that we've outperformed the market just as we expected. The market has certainly taken on a more normal seasonal pattern for 2020 and we expect fleets to manage orders in a more traditional manner, heading into 2020. ACT and FTRs estimates are around 239,000 and 270,000 units respectively for 2020. We're finding on an environment in this range of approximately 250,000 units. But we're certainly ready if the market turns out to be stronger than we've initially planned. Within the final mile space, we continue to expect outpaced growth in the longer term, but we expect customer demands to reflect a more subdued level of overall market growth in 2020. Additionally, we anticipate seeing a seasonal shift in demand that favors the second half of the year and supports growing levels of customer optimism pointing to stronger 2021 demand within truck body space. Now we'll talk about capital allocation. Our primary focus remains repaying debt. In the quarter we reduced our debt by $20 million, funded our dividend and repurchased the $11 million of shares. In addition, we've been able to properly fund the necessary capital investments to operate the business and invest in the future. Going forward, deliberate deployment of cash to further strengthen our balance sheet will remain a core part of our capital allocation strategy while we continue to invest in our business, while returning capital to our shareholders. However, we believe that the value of the stock has experienced significant dislocation at recent levels. As we move forward, we won't hesitate to redirect additional capital toward share repurchase, if we feel that is in the best long-term interest of the shareholders. Now we'll talk about our 2020 outlook. We're providing a full year revenue outlook of approximately $2.1 billion. In the environment we are saying earnings per share of $1.20 at the midpoint with a range of $1.10 to $1.30 per share. We feel that this sequential increase in our backlog speaks to our ability to capture share as we move into a new phase of the cycle. Additionally, the relative strength of our backlog speaks to the differentiation that customers experience not only in our products, but the overall experience of doing business with Wabash national. I'd like to conclude my comments by thanking the entire team for their hard work in 2019 and their continued dedication in 2020 as we push forward with our transformation efforts. With that I'll ask Mike to provide additional color on both our financial performance and our 2020 outlook.
Mike Pettit: Thanks Brent. Let me start by saying that I'm very excited to begin my journey as CFO for Wabash National. I truly believe we have a very unified team that will accelerate the purpose, vision and mission that Brent has outlined by fully leveraging the scope and experience of Wabash National. With that, let's turn to Slide 5. On a consolidated basis, fourth quarter revenue is $579 million. Consolidated new trailer shipments were approximately 15,000 during the quarter. In terms of operating results, consolidate gross profit for the quarter was $72.3 million or 12.5% of sales. Gross margin increased by 120 basis points year-over-year, primarily as a result of cost recovery. The company generated operating income of approximately $32 million and operating margin of 5.5% during the fourth quarter. SG&A for the quarter excluding amortization was 35.4 million or 6.1% of sales. Operating EBITDA for the fourth quarter was 44.2 million or 7.6% of sales. Intangible amortization for the fourth quarter was $5.1 million. Interest expense for the quarter totaled 6.5 million, a modest decrease over the prior year as a result of our continued debt reduction activities. We incurred income tax expense of 6.9 million in the fourth quarter. The effective tax rate for the quarter was 27.4%. Finally for the quarter GAAP net income was 18.4 million or $0.34 per diluted share. Let's now move on to look at the segments beginning with CTP on Slide 6. Commercial Trailer Products fourth quarter net sales were 399.3 million on new trailer shipments of 14,300 units. New trailer average selling price or ASP increased over the prior year quarter by more than $1,500 per unit on pricing actions to mitigate the impact of higher material and operating costs. CTP recorded growth in operating margins of 12.6% and 10.8% respectively. Operating margin improved 190 basis points compared to the prior year period due to cost recovery in addition to product and customer mix. CTPs full year revenue was 1.5 billion during 2019 with operating income of $146 million, which represents an increase of $4 million in operating income on lower sales of $15 million. CTP continues to execute on strategy to further differentiate its products and provide unmatched value to our customers. We're launching multiple new products in 2020. These new products combined with our focus on creating value added solutions for our customers will enable CTP to outperform the market during this period of software market conditions. Now moving on to Slide 7, Diversified Products Groups net sales were 95 million, a year-over-year decrease of 7.7 million or 7% for the fourth quarter, driven by the sale of the AVTE business in mid-January of 2019, which represents approximately seven percentage point DPGs year-over-year growth in the fourth quarter. DPG posted a gross margin of 17.2% and operating margin of 5.9% during the fourth quarter, 80 basis points decline and operating margins as compared to the adjusted non-GAAP operating margin in the prior year period was primarily due to lower sales mix from Wabash composites business. For the full year DPGs revenue was 385 million or a 2.4% decline from the prior year. Adjusted for AVTE divestiture, growth would have been approximately 6% for the full year. Operating margin of 7.7% in 2019, showed a 220 basis point increase over the prior year's adjusted operating margin. DPGs 2019 performance reflects active deployment of key Wabash management system elements, specifically the growing use of an integrated sales and operations planning process highlighted by improved commercial processes. In addition, they've increased the rate of deployment and enterprise lean tools to improve key areas of operational performance. On Slide 8, Final Mile Products net sales for the fourth quarter totaled $93 million, driven by solid market conditions as well as demand from customers who appreciate the operational and technological advantages Wabash brings to the truck body space. As previously mentioned, operating results were certainly not up to our expectations as a result of a difficult build mix, combined with a very low average order size in the fourth quarter, which stressed in an already fragile operating system. This mix shift proved to be more disruptive in the quarter as it aligned with some process and IT system improvements. The FMP team continued to push forward through these operational challenges in order to try to keep up with our improving delivery performance for new and existing customers. All combined, this resulted in compressed margins for the quarter with growth in operating margins of 6.7% and negative 6.4% respectively. We do expect some degree of these operational headwinds to carry over into Q1 of 2020 as our work to implement lasting countermeasures continues into this quarter. For the full year, final mile achieved $442 million of revenue growth or 22% versus the prior year period. We have expanded existing customer relationships and developed exciting new relationships that we expect to continue to support future growth in this business. While operating margin of 2.2% for 2019 is certainly not the result we are satisfied with internally, we did generate an increase of 4.2 million EBITDA or 25% growth during 2019 while generating 4.8% EBITDA margins in Final Mile Products for the full year. We'll continue to implement processes to shore up some of the systems we inherited in a Supreme acquisition, where rapid growth has obviously thrust the operation. It goes without saying that we are focused on growing margins in this business as we look forward to 2020 and beyond. I'll turn to Slide 9. Slide 9 shows the walk to free cash flow conversion on a year-to-date basis with operating cash flow of approximately 146 million, roughly 38 million which has been invested via capital expenditure, leaving 109 million of free cash flow, which converted at 121% of net income year-to-date through Q4. As Brent mentioned, this is a seventh consecutive year of free cash flow conversion of 100% or greater, which is a record that we are very proud to add to. Moving on to our balance sheet and our capital allocation plan, our liquidity or cash plus available borrowings as of December 31 was 308 million or 13% of trailing 12 months revenue. With regard to capital allocation during the quarter, we utilized $20 million of debt reduction and invested 15.4 million in capital projects. Additionally, we returned 15.5 million of capital to shareholders via the quarterly dividend payment of 4.4 million and share repurchases of 11.1 million. It is important to note that as of the end of the quarter, we still had 69 million remaining under our share repurchase authorization. Net working capital finished the fourth quarter down $32 million sequentially and ended the quarter at 8.9% of trailing 12 month revenue. We finished the fourth quarter with leverage ratios of gross and net debt of 2.4 times and 1.7 times respectively. Now moving on to Slide 10 to discuss guidance, with our outlook for 2020, we expect revenue of approximately $2.05 billion to $2.15 billion. We anticipate gross margin in the mid 13% range. On our last call, we mentioned the centralization of our product innovation group. As a result of this change, we saw approximately 1 million per quarter shift from cost of goods sold to general and administration on the income statement, beginning in the fourth quarter of 2019. And that will continue going forward. We would expect 2020 SG&A spending after adjusting for the centralization innovation change to approximate 2019 SG&A spending. As a reminder, we expect the amortization to increase about 1.5 million in 2020. Detailed amortization schedules can be referenced in our annual filings. Operating margins are anticipated in the range of 5.3% to 5.7%. We are estimating the effective tax rate for 2020 to be between 26% and 27%. Our outlook embeds an EPS midpoint of $1.20 per share with a range of $1.10 to $1.30 per share. Full year capital spending is expected to remain roughly in line with 2018 and 2019 levels as we continue to support the pipeline of productivity projects and new product commercialization identified across our business segments. In total, we estimate 2020 capital spending to between $35 million and $40 million. Our expectation for the first quarter revenue is to come in between $430 million and $470 million, with new trailer shipments of 10,000 to 11,000 units. Moving on to total company profitability, we expect operating margin at first quarter of 2020 to be between 1.5% and 2.5%. In addition to Q1 being a seasonally weakest quarter for margins as mentioned, we expect operational headwinds in FMP to impact first quarter profitability. And as always, the shipment schedule for Commercial Trailer Products is loaded towards the back half of the first quarter, which means we do anticipate some Q1 production being shipped early in the second quarter. In summary, we're pleased to have achieved another record revenue in 2019, while also growing operating income, net income and earnings per share. 2019 was also another strong year for cash generation. While we proceed with our capital allocation plan that balances debt repayment, continued investment in the business and returning capital to shareholders, we will keep a close eye on the stock valuation and fit it in the direction of share repurchase, if we feel that provides the greatest return for shareholders. While we expect industry volumes to take a step back in 2020, we also anticipate picking up share as our focus on innovation pays off with new products that command customer interest. The relative improvement of our backlog speaks to market preference for Wabash products and helps ground our full year revenue and EPS guidance for 2020. Thank you for your interest in and supportive Wabash National. Brent, Ryan and I look forward to communicating further progress throughout 2020 and beyond. With that, I'll now turn the call back to Katrina and she'll open up the line for questions.
Operator: Thank you, sir. [Operator Instructions] Your first question is from Justin Long from Stephens. Line is open.
Justin Long: Thanks. Good morning and Mike, congrats on the new role.
Mike Pettit: Thanks Justin. Appreciate that.
Justin Long: So maybe to start, the midpoint of your 2020 trailer delivery guidance implies a decline of around 11% year-over-year and it sounds like the expectation for the market is down about 25% based on what you said in the prepared remarks. So that implies a pretty significant level of our performance relative to the market. Could you talk in a little bit more detail about what is driving that? And I know you mentioned product mix, but maybe comment customer mix and if there's any change in terms of strategic pricing as well.
Brent Yeagy: Yeah, Justin, this is Brent. I'll start that off and Mike can follow up as he needs to. I would start with and just repeat what we've been saying almost for I'd say three to four years and specifically our lead position in Commercial Trailer Product. First off, we've reconditioned the customer base that we sell to today and we're saying that pull through will help the direct portion of orders flowing through the order backlog at this time. We've continued to improve the channel mix, specifically strengthen the indirect channel that we believe will pull through as we move through the remainder of the first half – or the remainder of the summer and the second half of the year. We go back to the dealers that we've added really since 2013. We see that happening. The other piece to it is the relative stable pricing that we see moving in from 2019 to 2020, again, representing the premium and the reflection of the product that we put on the road for our customers. We see that, we can measure it and we got $1.1 billion in the backlog to validate that at this time. So that's moving into our calculus at this point on the CTP front. We position that business well. We don't see it pull through. We've also talked about there is – while there's a level of absorption issues that come through anytime that you come off of a higher volume number, we're also picking up a little bit of efficiency, because we're running at peak volumes really for the last two years, right. So overtime comes out and there's just a level of efficiency gain offset by other issues. That helps prop up our decrementals when you think through what'll be going on in 2020. So that's a high level at this point.
Mike Pettit: I would just add just it represents a strong mix of customers in our direct channel as Brent mentioned, a strong and improving indirect channel and obviously a belief from our customers in a very strong value proposition of our best products.
Brent Yeagy: I think the other piece is that the diversification strategy that we've implemented over the last six, eight years starts to come through in a cycle like this. We've got a growing revenue base within our Final Mile Products due to secular demand. We've got the ability of improving those operating margins with work that we're going to implement in 2020 and we'll be working on that. Diversified products has shown a higher level of revenue stability, specifically we'll experience that in a trough environment as their cycles a little bit different. And ACT actually just raised their expectation by a couple hundred units for 2020. So we'll see that stability, coupled with the fact that they stabilize their margins and they've shown the opportunity to continue to work on those with the performance that they've had so far in 2020, as well. So there's a lot of things coming together. And we've alluded to that all going back to the Investor Day that we talked about in March of 2019.
Justin Long: Okay, great, that's a really helpful color. Maybe to circle back on my on the next question back to what he said on operating margins. Mike, I think you mentioned in the first quarter it's somewhere between 1.5% to 2.5%. If you look at that, compared to the full year guidance for 2020, it implies a pretty nice pick up sequentially over the balance of the year. So can you talk a little bit more about how you – I guess, the quarterly cadence of operating margins over the course of this year and where you expect to exit 2020 from a margin perspective.
Mike Pettit: Sure. I will break down each quarter. But what I will say is typically Q1 is our seasonally weakest quarter. And then that's being added to this year, we mentioned we do have some headwinds from FNP coming into Q1, which is embedded in our 1.5% to 2.5% guidance for the first quarter. What you do see typically in this business and we expect it again this year is much stronger Q2 and Q3 performance. As the business ramps through the first quarter, you will see strong production exiting Q1 and then you'll see sometimes that shipment lag will move into Q2 and that's why we very regularly see very strong Q2 and Q3 quarters within the overall Wabash National business. Furthermore, we expect Final Mile Products to improve as we go through the year both in operational performance and in the demand environment. So we would expect the second half of that business to provide a lift for the overall margins. And that will – that work will be provided as we exit 2020, so that's all embedded in our guidance of a softer Q1 and a much stronger Q2 to Q4.
Justin Long: Okay, and maybe just one last question and then I'll hop back in the queue. But looking at the revenue guidance for the full year, could you speak to what's getting baked in for the DPG and FMP segments?
Mike Pettit: Yeah, we don't typically break that out amongst the three segments. But I will say that those businesses, as Brent alluded to, we're now expecting is much growth in FMP as you seen the last couple years and then DPG as well, I would think with trend in general in the same trailer shipment guidance that we gave for the overall business.
Brent Yeagy: Yeah, the only thing I would add is on the – obviously on the demand performance side echoing to what Mike said to a degree. I think we're not we're not looking for diversified products to make any large steps in terms of share necessarily this year, we need them to execute their business. They have a stable demand to do that and they need to work on their margins accordingly. On the Final Mile Product space the market is going to have some down pressure. We've got some growth opportunities. We'll see how those offset each other. That's factored in. CTP, that's a story we keep wanting to tell. We should see a level of share expansion in 2020. As we've already have seen in our backlog numbers, we're not going to get into what that share number is at this point. But we do clearly see the fruits of our labors paying off. So we'll – CTP is going to be a big part of the revenue story this year and that's always been part of our strategy.
Justin Long: Okay, great. I'll leave it at that. I appreciate the time.
Mike Pettit: Thank you.
Operator: Next question is from Felix Boeschen from Raymond James. Line is open.
Felix Boeschen: Hey, morning, guys.
Mike Pettit: Good morning.
Brent Yeagy: Good morning.
Felix Boeschen: So maybe it's like a follow up on some of the comments around really trailer pricing. I think obviously you're reaping some of the benefits from some pricing recoups, really from higher raw material costs. But curious if you could touch on your expectations for pricing to 2020, maybe first half versus second half of the year, and really what you're seeing in the market right now?
Brent Yeagy: Yeah, I mean, that's – we've got so many products and so many different markets. So I'll just – I'll quickly say for the FMP and DPG business, just based on demand environments, they've got the customer base, I think we're still looking at, we'll call it stable pricing from 2019 to 2020. And that's baked in our guidance. For CTP, I think the general layman's expectation is that we would be seeing higher levels of pricing pressure at this stage of the game. And what we're seeing right now is relatively stable pricing as we execute the innovation work that we put into our product. We're launching multiple commercialization efforts in 2020, as well as garnishing what we did in 2019. So I would just say we are very happy with how pricing is entering into 2020. But I will stress, it is a dynamic year and there are some different channels that still need to come through based on traditional timings, specifically the indirect channel. We look for that to be a general positive story with the work that we've done, but that's an aspect of the overall trailer channel makeup that is really a Q2, Q3 activity under normal traditional calendarization of orders.
Felix Boeschen: Okay, that's helpful and then just shifting gears sort of back to Final Mile here, I mean, obviously margins were maybe a bit softer than expected and 4Q, do you mind maybe elaborating a little bit more on that? Is there anything in there that we could point to as maybe more one time in nature? I get some of it will roll over into 1Q '20 foot, but I'm really trying to understand sort of what's the go forward run rate as we really approach the second half of 2020 here?
Brent Yeagy: Yeah. So for diversified products, when they think about their margins and then we alluded to in Q4 from a Wabash composites perspective that kind of weighed on margins in the fourth quarter, A big part of the revenue stream for that business unit is really driven off of dry van volume and converted truck body volume to replay technology. And that began to show itself in Q4, just based on demand loading at that time, that's a normal Wabash composite that is always pressured in the fourth quarter. We saw it a little bit more with those input items and that's what affected that margin accordingly. Our other business segments inside of there, tank trailer and process systems did well for the market condition that they've had. So really what we should see as CTP continues to perform and we probably alluded to why we believe that will be the case that will prop up Wabash composites through Q1 to Q3 accordingly, but it will still weigh on to a degree in Q4.
Felix Boeschen: Okay, but anything else you guys can say around Final Mile Product specifically, sort of as we look in the cadence of margins into next year?
Mike Pettit: Yeah, so what we mentioned in the remarks was that Q4 represented a pretty significant shift in their order demand and profile, which we see start in Q1 period off as well. So that's really what causes margin compression and softness. We are seeing some nice order intake as we move through Q1 and we believe that a lot of what we saw in Q4 that caused that step down significantly from earlier part of the year will pass throughout Q1 and then we'll see much better margins Q2 to Q4 period.
Felix Boeschen: Okay, thanks, guys. I'll leave it there.
Brent Yeagy: Thanks Tyler.
Operator: Next question is from Ryan Sigdahl from Craig-Hallum Capital. Line is open.
Ryan Sigdahl: Good morning guys and congrats on the new role, Mike.
Mike Pettit: Thank you
Ryan Sigdahl: So given maybe just some guidance, it's fairly back half weighted and you guys have talked some about it, but I guess how much of that business is in the existing backlog that you have versus maybe indications of orders or expectations of future orders, maybe between those three buckets?
Brent Yeagy: Yeah. So Ryan I think you might be aware, I mean, for our – the majority of that backlog obviously is within our Commercial Trailer Products business. That back log is relatively evenly spread throughout the full calendarization of the year at this point, that's mainly coming from the direct channel that makes up the bulk of our CTP demand profile. So we factor that into the guidance itself. We know what the trailers are laid in. We know what an active – quarter more activity has indicated where that will come in the future. So we're very comfortable right now with how we have laid out the distribution of revenue in our guidance.
Mike Pettit: Yeah. I would just add that traditionally the truck body business or the Final Mile Product segment would not have much backlog beyond q2 in this point of the year ever. So they would expect so seeing those orders starting to roll as they get into late Q1, early Q2.
Ryan Sigdahl: And then on – just on CTP pricing, you mentioned innovation technology certainly helping you guys from a pricing as well as market share standpoint. Have you guys seen any pricing pressure in the industry from competitors and you guys are just offsetting that? Or is the industry actually holding up maybe better than feared given the demand environment?
Brent Yeagy: I don't think that one or the other at this point. I mean, it's kind of twofold. Yes, we are seeing some level of pricing pressures in certain markets for certain products and certain customers. And I know that's a mouthful, but that's the way that we look at it. The way we positioned our customer base buffers that – buffers us from that to a large degree. So while we see it, we know it's going on. We've been able to avoid it in most cases, with the bulk of the demand coming in for our CTP products. I will say this, I am pleasantly surprised with the level of rationality that we're saying in our – with our competitors at this moment in time.
Ryan Sigdahl: Good, that's it for me. Good luck guys.
Mike Pettit: Thank you.
Operator: Next question is from Joel Tiss from BMO. Line is open.
Joel Tiss: Hey guys, how's it going?
Brent Yeagy: Hey Joel.
Joel Tiss: Can you talk a little bit about your 2020 free cash flow expectations and just kind of your preference like which way you're leaning with your 140 million of cash that you already have for share repo versus debt reduction?
Brent Yeagy: So I would expect another year of 100% plus free cash conversion. So you can get to that with our implied guidance, what we expect a kind of a minimum of free cash to be. In terms of our existing cash and new cash being generated in 2020, as we mentioned, debt pay down and the delever remains a priority for the business as well as investing in some really good growth projects we have. We have some really nice organic growth opportunities. MSC remains a real positive area for us to invest capital and then depending on what happens with the share price that's always an opportunity for us to continue to move some capital with valuations to point us in that direction.
Joel Tiss: Okay. Can you give us a little bit more color on what some of the cost savings targets are for 2020 and any numbers you have around that?
Brent Yeagy: In terms of like our productivity projects?
Joel Tiss: Yeah.
Mike Pettit: Yeah. So there obviously are – they're all in slide on our guidance, but we had several projects in the hopper through our Commercial Trailer Products, Diversified Product and Final Mile Products all have active. We spent $38 million of capital last year and good chunk of is on projects that we believe will come through into 2020. Final Miles is a good example of one where we deployed some capital last year that we believe will help significantly to be able to expand the margins of what you saw over into the second half 2020 into 2021 based on that capital deployed in the business. I'm not going to break out specific margin expansion by business based on those projects. But a good chunk of our capital that's been deployed organically into the business, which has been in the high $30 million range over the last couple years, has been devoted to is going to these projects.
Brent Yeagy: Yeah, I would add just a little bit more granular level, we have three to four planned line velocity lean, we'll call it deployed initiatives that are either actively or actively being worked on or will be worked on in 2020. Some are within the Final Mile Product; some are within tank trailer we as well as some within Commercial Trailer Products. Two to three major Six Sigma projects, one of those will be at our Wabash Wood Products facility to improve productivity there and yield that'll be meaningful. And when we look at all of those at a minimum target, we want to offset at a minimum labor inflation as just a general rule in what we try to do, that's a given that's baked into our numbers, and then there's always the potential for upside. We don't necessarily bake that all into our guidance, because nor do we bake in all the risk, right. We need those projects that help offset and countermeasure other things that will happen in the course of an operating year. So we have a lot going on we've expanded the work that we're doing, from what we saw in 2018 and 2019. As we're in this period, now that we've got a little bit of – and this is kind of a gift that we get with a little bit reduced demand, we can get into some of the operations that maybe we couldn't in the past and do some work. And those have been planned out for a period of time and will engage in that 2020. We'll see the fruits of that most of that really in 2021, 2022 is a rewrite the up cycle up. And that's a big part of our strategy going forward. That is something Wabash National has not been able to execute in the prior, we'll call it relative downturn periods. And people need to keep an eye on that in terms of how we're going to perform over the next three years and our position going forward.
Joel Tiss: That's great. And then last, can you just give us a little bit of a benchmark on the FMP loss in the first quarter? Is it going to be similar to fourth quarter or better or any help you can give us there? Thank you.
Mike Pettit: That specific guidance Joel, we will say that we expect it to improve as we go through the quarter. And I would definitely expect Q1 to be weaker than Q1 of 2019. But I'll leave it at that. We're seeing improvement as we move through Q1 today.
Joel Tiss: Okay, thank you very much.
Brent Yeagy: Thanks Joel.
Operator: Last question is from Jeff Kaufman from Loop Capital Markets. Line is open.
Jeff Kauffman: Thank you very much. Good morning, gentlemen. How are you?
Mike Pettit: Good.
Brent Yeagy: Good morning Jeff.
Jeff Kauffman: Okay, so just a couple of mop up questions here. You gave us the revenue outlook for 2020. You told us you were going to pick up market share. I can't remember, did you give a vehicle range for 2020?
Mike Pettit: Yes, so the vehicle range is – sorry, I don't have that in front of me right here. I think it's 58,000 to 62,000. But let me double check that and I'll get back to you offline.
Jeff Kauffman: For 2020 and the 58 would include Final mile, I guess.
Mike Pettit: Sorry, I've got slides here. No, we really didn't share our guidance, sorry, 49,000 to 53,000.
Jeff Kauffman: Okay, that's that sounds a little better. Okay, so actually, if we take that against, let's call it the midpoint of ACT and FTR 250. That's implying almost a 200 basis point market share gain, no?
Brent Yeagy: That would hold. That's correct.
Jeff Kauffman: Okay. Just want to make sure we're on the same page. Thank you. And how many – how much did you say was left on the repurchase? I was writing as quick as I could, but I didn't get the number.
Mike Pettit: Yeah, 69 million.
Jeff Kauffman: 69 million. Okay, thank you. Okay, let me let me shift gears on Final Mile because obviously, I think that was the big surprise relative to expectations. So do you – when you look at this, Mike or Brent, is this an issue where the industry acted in a way you didn't anticipate? Or is this more of a growing pain and this kind of happens from time to time in the fourth quarter, and it just caught us off guard.
Brent Yeagy: I was I would say it was more of a growing pain Jeff, where you had a business that was growing rapidly through 2018, 2019, but simultaneously putting in business process improvements that we believe will bear fruit over the long term that got hit with a shift in the market more from a mix and demand profile perspective and overall weakening, that kind of got the business in a position where they we're struggling to flow products as well as they had earlier there.
Jeff Kauffman: So this would be something that once you resolve what you need to resolve at your end, your view on the ultimate profitability or the ultimate opportunity is no different.
Brent Yeagy: The long term view of the performance of a business and not changed at all.
Jeff Kauffman: Okay, so this – when you're saying it's a change in product mix, it's not that the market is shifting, it's just that the fourth quarter caught you off guard is what you're saying.
Brent Yeagy: The specific mix in the fourth quarter caught us up right. Yeah, to be very operational, when you talk about it, this business, you're doing discrete capacity planning, typically two to three months in advance based on order flow into that business. And you're having to make decisions on how you're going to operate in that. It's built in differently than how we had positioned the business. And it affected not only the top floor, but the average order size affected everything from engineering to supply chain, just simply in average order size phenomenon. It just came out that way. Alright, so it'll take care of itself as we move through the year.
Jeff Kauffman: Okay and then final question. You mentioned there's a lot of exciting new product coming to market in 2020. Can you give us an idea of the timing of different product introductions to the year? I think you said a little more back half loaded. But when are some of these products coming out and are they going to be visible at the truck shows and things like that early in the year is going to be something where we see more of this toward the end of the year?
Brent Yeagy: Yeah. So the bulk of the commercialization efforts are launched. They will phase in throughout 2020. We've launched our new procreated core DuraPlate panel, we have active orders that was pulled really in the fourth quarter, open up for sales and 2019 to fill in to the 2020 backlog that has – what to say met our expectations in terms of product adoption behind of that an innovative piece. It's also a market enhancing opportunity for CTBT. We've continued – we've just launched our new revised Eagle II platform trailer. And that is now active for orders right now and will gain momentum throughout the year. We've got a handful of smaller innovation items within our tank trailer business. More destructive composites, specifically the refrigerated trailer is going through additional revisions right now to broaden the addressable market for that product that we'll see in the second half 2020. And we're doing additional things with more fresh composite truck bodies to enlarge it's a clickable market in 2020. That's going to be a second half of the year phenomenon. Mike, am I missing anything?
Jeff Kauffman: Okay, great guys. Congratulations and thank you.
Mike Pettit: Thanks Jeff.
Brent Yeagy: Thanks Jeff.
Operator: I am showing no furniture questions at this time. I would now like to turn the conference back to Mr. Reed.
Ryan Reed: Thanks, Katrina and thanks everyone for joining us today. We'll look forward to following up during the quarter.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation and have a wonderful day. You may all disconnect.